Operator: Welcome to the BrightSphere Investment Group Earnings Conference Call and Webcast for the Second Quarter 2024. During the call, all participants will be in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] Please note that this call is being recorded today, Thursday, August 1, 2024, at 11:00 a.m. Eastern Time. I would now like to turn the call over to Melody Huang, Senior Vice President Director of Finance and Investor Relations. Please go ahead, Melody.
Melody Huang: Good morning. And welcome to BrightSphere's Conference Call to discuss our results for the second quarter ended June 30, 2024. Before we get started, please note that we may make forward-looking statements about our business and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information regarding these risks and uncertainties appears in our SEC filings, including the Form 8-K filed today containing the earnings release, our 2023 Form 10-K, and our Form 10-Q for the first quarter of 2024. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update them as a result of new information or future events. We may also reference certain non-GAAP financial measures. Information about any non-GAAP measures referenced, including a reconciliation of those measures to GAAP measures, can be found on our Web site, along with the slide deck we will use as part of today's discussion. Finally, nothing herein shall be deemed to be an offer of solicitation to buy any investment products. Suren Rana, our President and Chief Executive Officer, will lead the call. And now, I'm pleased to turn the call over to Suren.
Suren Rana: Thank you, Melody. Good morning, everyone, and thanks for joining us today. I'll cover some of the main highlights on slide five of the deck in my initial remarks, and then I can answer any questions. So, for the second quarter of 2024, we reported ENI per share of $0.45, compared to $0.28 in the second quarter of 2023, and $0.44 in the first quarter of 2024. The 61% increase in ENI per share compared to the year-ago quarter was primarily driven by increase in management fee revenue due to higher AUM from the market appreciation that we saw over the last 12 months. And secondly, it was also driven by our share repurchases over the last few quarters. Our average AUM increased approximately 13% compared to the second quarter of 2023. And management fee revenue increased 14%, in line with the AUM increase. However, since we were able to keep our operating expenses generally flat year-over-year, our ENI increased 43% because of the 14% increase in revenue. With this proportionate increase in ENI versus revenue increase, reflects our continued expense discipline and the embedded operating leverage in our business. We would expect to continue to benefit from this operating leverage as our revenue growth. Additionally, the increase in ENI per share versus year-ago was 61% compared to the 43% increase in ENI that I just went through. And that difference was driven by our share repurchases over the last year. Between December 2023 and June of 2024, we repurchased 4.7 million of our shares, or 11% of our total outstanding shares, for $100 million. Acadian's investment performance remains great. As of June 30, 2024, 86%, 92%, and 93% of Acadian's strategies by revenue outperformed their respective benchmarks across three, five, and 10-year period. Turning to flows, net client cash flows were incidentally flat for the second quarter. In the second quarter, we had select large and lumpy inflows, but we also had select large and lumpy outflows. And these lumpy flows basically offset each other. Our growth initiatives continue to progress. On our systematic credit initiatives, Acadian's U.S. High Yield strategy, that was seeded in November, 2023, and the Global High Yield strategy, seeded more recently in April of 2024, both continue to build good track records. Additionally, we just seeded a third Credit strategy, U.S. Investment Grade strategy in July 2024, and that strategy is also building a track record now. On our Equity Alternatives initiative, our multi-strategy fund seeded in Q4 of '22, continues to build a strong track record of outperformance. Turning to capital management, as I mentioned earlier, we repurchased 11% of our outstanding shares since December of 2023 for $100 million. Specifically in Q2 of '24, we repurchased 0.9 million shares or 2% of our total outstanding shares for $21 million. At the end of second quarter, we had a cash balance of $72 million. And Acadian had an outstanding balance of $36 million on their revolving credit facility which, similar to prior-year, is expected to be repaid fully from cash from operations by year end. I'd like to close my initial remarks by reiterating, as I usually do, that we remain focused on maximizing shareholder value, and will continue using our free cash flow to support organic growth, and to buy back our shares. I'll now turn the call back to the operator, and I'm happy to answer questions at this point. Thank you.
Operator: Thank you. [Operator Instructions] Our first question for today comes from the line of Michael Cyprys with Morgan Stanley. Your line is live.
Michael Cyprys: Great, thank you. Good morning. Maybe just starting out with the lumpy flows that you alluded on both the gross sales and the redemption side, was hoping you could unpack both of those, maybe talk about some of the types of strategies, customer channels, et cetera, where you're seeing some of the [strays] (ph) come in, and similarly on the redemption side, what you're seeing there? And if you could also just touch upon the pipeline as it looks today, how is that shaping up versus, say, last quarter? Thank you.
Suren Rana: Yes, thanks, Michael. As we've touched on, ours is an institutional business, and so some of the numbers can be large, and they are episodic. So, if there weren't necessarily any pattern to unpack; it was just sort of coincidence, if you will, that we had these large numbers on both sides. On the inflows, there's really almost just really just three large clients that came in. There was a client that was more than a couple of billion, another one for a $1 billion, and another close to $1 billion, so these are really large numbers. And they were in assorted strategies, and not -- I wouldn't say there were any patterns to unpack in terms of any particular strategy, it was just that the strategies that these clients came in, and they came in large numbers. And it happened to be that these three large inflows happened to be in the same quarter. On the outflow side, similar story; that we had really a large client close to a couple billion, another client more than $1 billion, another client sort of similar number, different strategies that just happened to be in the same quarter. So, it was quite sort of a -- quite a bit of a coincidence that it just all happened in one quarter. But, yes, it all sort of cancelled each other out, so that's interesting. And we don't -- going forward, if you guess, the best sort of -- another part of your question. As we've guided in the past few quarters, we see more of a breakeven-to-flat cadence that we do have. And the pipeline remains healthy across stages. We have a good pipeline across different strategies, and across different stages. And we still see some pressures from managed volatility strategies, among other. We see rebalancing going on by clients in these rising equity markets when they take some chips off the table. There are some clients that are moving to a fixed income as a way to manage their -- [technical difficulty] profiling the liability-driven investing. So, all of those puts and takes, we think about a breakeven kind of cadence for a few quarters here.
Michael Cyprys: Great, thanks. And just a follow-up question on capital allocation, just curious how you're thinking about and planning to approach that as we move in here in the second-half and into '25, cash balance $72 million I think you mentioned. How should we think about that potentially going down, if at all, just given, I know, in the past I think you've mentioned you think about minimum cash levels that you need to run the business is meaningfully lower than that. So, what can we expect in terms of buybacks here as we go forward? Thank you.
Suren Rana: Yes, thanks, Mike. Yes, we think about minimum cash levels around $20 million or thereabouts, so you could say that maybe they're close to $50 million is for other uses. And as we've said earlier, the two main uses remain the buybacks and seeding opportunities to accelerate our organic growth. So, we remain mindful and opportunistic on both of those fronts. We seeded just in this quarter, as we mentioned in the release, we seeded our third credit strategy which was the U.S. Investment Grade strategy. So, we have a sizable seed pool now, so there might be some recycling that happens within the pool. But still, if we get opportunities to seed more and to yield opportunities for organic growth we might do that. And we'll also look at the buybacks as we go. So, there isn't any particular formula we have. We'll remain opportunistic on both. We don't feel like we necessarily have to buy back our shares every quarter, particularly as I touched on, with that $50 million kind of a number. It's not that much to put to work. So, we'll just -- we'll remain opportunistic here.
Michael Cyprys: Great, thank you.
Operator: Thank you for your question. Our next question is from the line of Kenneth Lee with RBC Capital Markets. Your line is live.
Kenneth Lee: Hey, good morning, and thanks for taking my question. Just one on the fee rate, there was, I think, a slight pickup in the fee rate in the quarter. Wondering whether it was just due to mix shift and, if so, were there any particularly fee rate products that contributed to the fee rate there? Thanks.
Suren Rana: Hi, Ken. Yes, I think the answer was in the first part of your guess, largely it's the mix that does impact the fee rate a little bit now because some of our strategies are higher fee, and some are lower fee. So, clearly one of the factors was that the emerging markets' indices in the second quarter did relatively well. They had been lagging for a while. But in Q2, they did better than some of the other indices, [EC] (ph) and others, and they have higher fee. So that was part of -- that was probably most of it, and some other puts and takes.
Kenneth Lee: Got you, thanks. And just one follow-up, if I may, just in terms of the share repurchases capital allocation there. Would you expect to see a renewal of your -- the Board to renew there the share repurchase authorization sometime in the near-term? Thanks.
Suren Rana: Yes, thanks, Ken. Yes, as I said, the uses for the capital remain on seeding organic growth opportunities and buybacks. It's, as I said, the excess capital right now is not that much that it's burning a hole in our pocket. So, there isn't necessarily super urgency on that. But yes, in due course, we would expect to get new authorization for buybacks.
Kenneth Lee: Got you, very helpful there. Thanks again.
Operator: Thank you. Our next question is from the line of John Dunn with Evercore ISI. Your line is live.
John Dunn: Thank you. A question on the outlook for further expense control from here and your ability to keep expenses in check?
Suren Rana: Hi, John. Yes, as we've talked about over the last couple of years, we had a lot of expense increases in the last couple of years as we were really investing in our infrastructure. We invested in our trading infrastructure. We added to our investor reporting capabilities. So, we were really building out a lot now, in the sense of making our franchise more scalable. So we have done a fair bit of that over the last couple of years. And at the same time, we also faced pressures from inflation on the cost of data and -- because inflation was everywhere; so that's abated. So it appears that now, having built up a lot over the last couple of years, and having faced inflation, we are now in a good position to keep the expenses more or less at these levels, barring, of course, the general increases that you would see, sort of cost of living-type of increases, 2%-3% kind of levels. So, that's what I touched on, that we do have the operating leverage as our revenue grows, either from market growth or organic growth, we should be able to keep the operating expenses relatively at these levels. So, we should have disproportionate benefit as revenue increases.
John Dunn: Got it. And maybe could you give us a little color on the conversations you're having with clients about potentially a pickup in demand for emerging market strategies?
Suren Rana: Yes, there are sort of a variety of opinions, and depends on, also, the type of client. As you can imagine, many clients view that as sort of a -- because there's always rotation in terms of higher performance markets. And emerging markets have been lagging for such a long time. So, many clients view that as an opportunity and whose time may be coming soon, if you will, just the levels of valuations overall in emerging markets, in China in particular. So, we're seeing that. On the other hand, there may be some clients who are little bit worried about the geopolitical situation, and worry about the risks, particularly -- and then there are some political factors from state clients. So, it's a mixed bag, but I think, everything said and done, so far we haven't seen much of a pattern either in terms of a lot of inflows or a lot of outflows. We are seeing inflows in that strategy, that it's a strategy that we really have excellent -- very strong top performance. So, if somebody does want to allocate, we would have really one of the best chances, and so we're seeing inflows in that strategy; we're also seeing some outflows.
John Dunn: Thank you.
Operator: Thank you for your question. Ladies and gentlemen, that will conclude our question-and-answer session for today. I would like to turn the conference call back over to Suren Rana.
Suren Rana: Thank you, Operator, and thank you everyone for joining us today. Have a good one.